Operator: Thank you for standing by. My name is Danielle, and I will be your conference operator today. At this time, I would like to welcome everyone to the First Commonwealth Financial Corporation Conference Call. [Operator Instructions] I would now like to turn the call over to Ryan Thomas. Please go ahead.
Ryan Thomas: Thank you, Danielle, and good afternoon, everyone. Thank you for joining us today to discuss First Commonwealth Financial Corporation's Third Quarter Financial Results. Participating on today's call will be Mike Price, President and CEO; Jim Reske, Chief Financial Officer; Jane Grebenc, Bank President and Chief Revenue Officer; Brian Sohocki, Chief Credit Officer; and Mike McCuen, Chief Lending Officer. As a reminder, a copy of yesterday's earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page. We have also included a slide presentation on our Investor Relations website with supplemental information that will be referenced during today's call. Before we begin, I need to caution listeners that this call will contain forward-looking statements. Please refer to our forward-looking statements disclaimer on Page 3 of the slide presentation. For a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements. Today's call will also include non-GAAP financial measures. Non-GAAP financial measures should be viewed in addition to, and not as an alternative for, our reported results prepared in accordance with GAAP. A reconciliation of these measures can be found in the appendix of today's slide presentation. With that, I will turn the call over to Mike.
Thomas Michael Price: Thank you, Ryan. Our performance in the third quarter reflects broad-based momentum across our regions and lines of business. Key highlights include our return on assets improved to 1.34% and our core pretax, pre-provision ROA grew 10 basis points to 2.05%. Net interest margin expanded 9 basis points to 3.92% marking another quarter of improvement. Average deposits increased 4%, reflecting balanced growth across all of our geographies. The cost of deposits declined 7 basis points to 1.84% underscoring effective pricing discipline, balanced with growth. Loans were up $137 million or 5.7% despite some payoff headwinds in commercial real estate. Loan growth saw meaningful contributions from equipment finance, commercial banking, indirect and home equity lending. Mortgage lending provided a headwind to balance sheet growth, although some of that runoff was by design, and the outlook for the business is improving. Geographically, we had strong loan contributions from all markets in Ohio and Pennsylvania. Fee income remained resilient post Durbin, representing 18% of total revenue, a healthy quarter-over-quarter improvement in our wealth business was offset by slower gain on sale income. The third quarter efficiency ratio improved to 52.3% from 54.1% in the second quarter, reflecting good expense control. Tangible book value grew 11.6% annualized on a linked-quarter basis and 9.1% year-over-year. On the credit side, core provision expense increased by $2.4 million quarter-over-quarter, reaching $11.3 million. As disclosed last quarter, we had a $31.9 million dealer floor plan customer who was out of trust. In the second quarter, we set aside $4.2 million in reserves for this relationship. In the third quarter, a receiver was appointed to liquidate the collateral. The out of trust amount and related liquidation costs rose as the process evolved. During the third quarter, $5.5 million was charged off, an additional $3.1 million was added to reserves, resulting in a net provision impact for this relationship of $4.4 million in the third quarter. This recent dealer floor plan fraud is isolated, and we expect it to be largely resolved by year-end. As of September 30, our floor plan exposures totaled $122 million across 21 traditional auto, and RV relationships with individual exposures ranging from $2 million to $18 million. Net charge-offs for the quarter were $12.2 million, primarily driven by the aforementioned $5.5 million dealer floor plan charge-off, and $2.8 million associated with the sale of 5 recently acquired Center Bank loans. This was an opportunistic sale utilizing the allocated loan mark from the acquisition with only $100,000 in provision expense. These 2 items accounted for 34 basis points of the quarter's 51 basis points of net charge-offs. With the dealer floor plan relationship now at $16 million, nonperforming loans declined to 0.91% compared to 1.04% in the prior quarter. Our loan portfolio maintains negligible exposure to private credit funds, equipment finance firms, NDFIs or subprime lenders. Our recent Center Bank acquisition in Cincinnati is exceeding our customer retention expectations. We're grateful for the opportunity that acquisition has given us to accelerate the build out of that region. On the digital front, we see good growth in services and high digital satisfaction and survey results. We continue to add customer-facing features to our platform and to improve productivity through the use of RPA and AI. We are excited about the outlook for First Commonwealth and the confluence of profitable growth, a regional focus leading to better low-cost deposit gathering and higher fee income, coupled with lower credit costs in the future. With that, I'll turn it over to Jim Reske, our CFO.
James Reske: Thanks, Mike. This quarter's core results show you what a little bit of NIM expansion and loan growth can do. Pretax pre-provision net revenue or PPNR, was up by $4.3 million over last quarter and nearly every financial metric improved. An increase in spread income overcame a modest decline in fee income, and a negligible increase in expenses, leading to improvements in core EPS, NIM, core ROA, core ROTCE and efficiency. And even though provision and charge-offs were up, as Mike mentioned earlier, the key asset quality measures of nonperforming loans and classified loans improved from last quarter as well. So let's look at the details. Spread income improved by $4.9 million over the last quarter on balanced loan and deposit growth. The net interest margin, or NIM, expanded by 9 basis points from 3.83% last quarter to 3.92% this quarter. The expansion was primarily driven by a 7 basis point decrease in the cost of deposits to 1.84%. Loan yields were largely flat this quarter as a 3 basis point decrease in purchase accounting marks was mostly made up for by a $25 million macro swap that matured on August 25 as well as the continued upward repricing of fixed rate loans. Fourth quarter NIM will feel the full effect of the Fed September cut and potentially today as well as any further cuts during the quarter, offset by the continued upward repricing of fixed rate loans as well as the expiration of $75 million of macro swaps in the fourth quarter. Plus, there's usually a seasonal decline in deposits this time of the year, which we would need to replace with more expensive borrowings if the past predicts the future. These factors could put some short-term downward pressure on the NIM in the fourth quarter. But we expect the NIM to recover in 2026, to roughly the level of the quarter just ended or about 3.9%, give or take 5 basis points as usual. In 2026, the expiration of $175 million in macro swaps and the expected continued upward -- the continuation of upward fixed rate loan repricing helps to blunt the effect of falling short-term rates on loan yields. That projection assumes that we'll have two more rate cuts this quarter and 4 next year, resulting in a steepening yield curve. It also assumes that we continue our mid-single-digit loan and deposit growth, along with projected improvements in the deposit mix that we expect to bring the cost of deposits down in keeping with the projected decline in loan yields. Core fee income, excluding securities gains, declined slightly from last quarter by $261,000. As Mike mentioned, we had lower gain on sale income, which was due to some REO gains in the second quarter and a $400,000 decrease in SBA gain on sale income. These decreases were somewhat offset by improved performance in our wealth division with trust up $0.5 million, and brokerage up $0.4 million from last quarter. We expect fee income to gradually increase in 2026. Core noninterest expense, or NIE, excluding merger expense, was up slightly from last quarter by $350,000, largely due to salary expense, driven by increased incentive accruals based on recent performance and loan growth. Looking forward, we currently expect that expenses will grow by approximately 3% next year. We repurchased approximately 625,000 shares in the third quarter at an average price of $16.81. We had $20.7 million of share repurchase authorization remaining at quarter end, most of which we intend to execute on in the remainder of '25, assuming our share price remains close to current levels. And with that, we'll take any questions you may have.
Operator: [Operator Instructions] Our first question is from Daniel Tamayo of Raymond James.
Daniel Tamayo: Maybe we just start on the credit side. It seems like the -- everything was kind of ring-fenced for the most part around the credits you referenced, the floor plan and the credits from center. Let me just make sure I have this right. So the floor plan relationship at quarter end is $16 million. You gave some info on the floor plan in total, $122 million, I think, Mike, but the floor plan relationship with the fraud is $16 million now. And then do you have the -- that's right, sorry.
Thomas Michael Price: That's correct. It went from $31.9 million to $16 million this past quarter. And $122 million overall floor plan exposure.
Daniel Tamayo: Okay. And the, I guess, remaining stress in that particular relationship you expect to be resolved in the fourth quarter? Or did I not hear that?
Thomas Michael Price: Yes, largely, we're just unwinding it.
Daniel Tamayo: Okay, okay. And what are reserves on that loan now, did you say?
Thomas Michael Price: 4.4.
Daniel Tamayo: 4.4, okay. And then the relationship from the Center acquisition that is driving these, what are the numbers on that? I don't know if I have those.
Thomas Michael Price: Yes, there were 5 recently acquired Center Bank loans, and we had an opportunity to sell those loans with a minimal hit. So I don't know if you want to expand upon that.
Brian Sohocki: Yes, sure, Mike. This is Brian. There was 5 loans. They were all marked at our original time of acquisition. And as Mike mentioned, the charge-off of $2.8 million resulted in only provision of just over $100,000 for the quarter. They were PCD loans and the mark did not reduce the carrying value. So you see the charge-off, but you don't see the impact on provision.
Daniel Tamayo: Okay. And so those have been sold now and they're gone. Okay. All right. Great. And as it relates to the rest of the portfolio then, back in the kind of historical range for charge-offs? Or do you have any thoughts on where net charge-offs kind of or provision, whatever is easier discussed moves here?
Thomas Michael Price: Yes. No change from prior comments from a charge-off perspective, expectation is to operate in the mid- to high 20 basis point range. Last quarter, we said 25 to 30 basis points. And similarly, from a provision basis, that will grow with our loan growth, respectively.
Daniel Tamayo: Okay. All right. Terrific. And then I guess just finally on the credit side, and I'll step back here. The NPL is down at 92 basis points of loans. Does that feel like a really relatively comfortable level for you guys? Maybe that's the wrong way to phrase it. Is it -- do you expect kind of stability from there? Do you expect that number continues to come down?
Thomas Michael Price: We expect it to come down. And we have a nice slide in our deck, our supplementary deck that really shows historically where credit quality has been. And we really -- if you look on Page 10, bottom left quadrant there, we've just been really quite elevated from third quarter of last year, fourth quarter and first quarter of 2025, where we were between $61 million and $76 million of nonperforming assets.
Brian Sohocki: I'll just add to Mike's comment that we'll have the tailwind of the majority of the dealer floor plan wind down in the fourth quarter and then kind of normalization of cleanup of the portfolio from there.
Operator: Our next question comes from Karl Shepard from RBC Capital Markets.
Karl Shepard: Just a quick one on the floor plan credit. I think you implied this, but as you see it today, no incremental provision from this in 4Q?
Thomas Michael Price: That's correct.
Karl Shepard: Okay. And then, Jim, I guess, on the margin, I was a little surprised to not see loan yields tick up a little bit higher. So I was hoping you could help us with what the fixed asset repricing was and then kind of what the accretion headwind was? And then just kind of how you see loan yields trending?
James Reske: Yes. The fixed asset repricing was still 87 basis points. That is in the third quarter. That was a little bit down from the second quarter, but it's partly reflective of the rate cut. So still positive. That led to a positive replacement yields for the portfolio of about 25 basis points overall. The fixed rate production right now is running about 1/3 of the total production. The 87 basis points of positive on the fixed rate means the whole portfolio is repriced up at about 25 basis points, but the fixed rate repricing -- up repricing hopefully will persist even after there's a few more rate cuts.
Karl Shepard: Okay. And then since you gave it, I guess, I'll ask a little bit about the 2026 NIM expectations. In the past, we've talked about your models kind of shooting it up towards 4% or even higher for the margin. Is that still the case, and this is a reflection of maybe a little bit of conservatism or some expectation of competition, or just help us understand kind of -- you're pretty thoughtful about this stuff, but what do you see that gives you that 3.90% number?
James Reske: Yes, I appreciate the question. Happy to tell you everything our thinking behind it and then you can make your own judgments as usual. I don't know if a sense of conservatism, but we do have more rate cuts in this projection that we had in the past. So there's 2 this year and then 4 by the end of next year. I would tell you that the pattern is not even in the projection we have, which we get from a third party that is probably the same third-party most banks use. If the rate cuts are quarter-by-quarter next year, 28, 18, 9 and 40. So they're kind of backloaded next quarter. But all that does in the model in that kind of rate scenario is take the yield on loans overall down by 15 basis points. And then because rates are falling, we can take the cost of deposits down by about the same amount, 15 basis points, and that ends up being a picture of NIM stability. So the numbers that we're pushing 4% probably just had a slightly higher rate forecast than we have this quarter. The other thing I just would note, it's not a parallel yield curve shift. It's a steepening curve, which is generally -- that's good for banks. So that helps a little bit. It helps us on the short end. We feel the pay in short end of our loans that are linked to the short-term rates. So we are able to bring the deposit costs down. And if in a mid- to long-end part of the curve stays up or goes up a bit, that helps with the fixed asset repricing. All that's going into the mix, and it's ended up looking pretty stable from here.
Operator: Our next question comes from Charlie Driscoll from KBW.
Charles Driscoll: This is Charlie on for Kelly. With a lot of the NIM expansion driven by the deposit repricing this quarter and then expecting basic cuts to increase here. Can you kind of flesh out some of the deposit repricing dynamics going forward? Maybe just dive into the drivers behind like the near-term compression and then a little bit of the neutrality from there?
James Reske: Yes. I'll just give you a little color on the deposits. This is Jim. A little color on the deposits and what's happening in the quarter. We're really happy to see the deposit balances growing. That was really -- and we kept saying this using this term, that was a nice edge this year to be able to grow deposit balances and simply the cost of deposits down, but we've been able to do that. What's happened is that we have grown this time deposit portfolio and kept that deposit portfolio, the pipelines were relatively short, like most banks. So in the second quarter, for example, we had $400-and-some million of CD maturities. In the third quarter, we had over $800 million. So it's managing those maturities and managing them, being able to reprice that maturity downward while still keeping the retention rate at an acceptable level. The retention rates have been pretty good on time deposits. They always end up being around 80%, which we think is about the industry average anyway. And then if you look at other deposits like money markets, our transaction accounts, our retention rates on those are actually over 90%, which we think is better than the industry average. We kind of track that pretty closely. And then I'll give you one more fact, just if it helps you. On money market accounts, we've been able to reprice those as well. So in the second quarter, money market accounts, 83% of the money market accounts had a yield over 3%. 83% of the money market account balances had a yield over 3%, and now that has gone from 82% to 49%. So we've been able to kind of manage the pricing of that while still maintaining even growing deposit balances. I hope that extra color answers your question, is a little helpful.
Charles Driscoll: Yes, that's great color. I appreciate that.
Thomas Michael Price: This is Mike. I would just add that for the people in the room, Mike McCuen, Jim Reske, Jane Grebenc, and Norm Montgomery, they monitor this every other week. And they're looking at the loan and deposit volumes that come on, they're looking at the net impact on liquidity and also the impact on margin. This is something that we feel between our fingers every other week, and we make game-day decisions of where we're at and where we're going and how we're going to get there. And I just love the process, and it also just keeps us informed in what's happening in the bank.
James Reske: By the way, all of us -- speaking for all of us, supported by great teams of people all read kind of give us data and help us keep our fingers on that policy.
Charles Driscoll: I appreciate the insight into the woodworks there. Regarding organic growth, it's come in pretty steady. Can you just speak to the expectations moving forward if payoffs are starting to pick up, maybe sizing up that headwind? And on the talent you got from Center Bank or anything in particular you're focusing on or excited about in terms of growth?
Thomas Michael Price: Yes. Some of the payoffs that we've seen are really healthy commercial real estate projects, refinancing into permanent markets, nonrecourse in the 5s. So that's not something we're going to do. And so that's some of the headwind that we see that's continued into the fourth quarter. However, we have a lot of -- we just have a lot of offense between consumer, mortgage equipment finance, indirect auto, our loan growth is going to be more constrained by liquidity versus our ability to go out and execute. So that's kind of -- that's going to be the check rein on all of this. Mike McCuen, anything you want to add?
Michael McCuen: I totally agree. Yes, I agree. I think the volumes -- production volumes are good, tempered by some payoffs, but feel pretty good going into next year on production results.
Thomas Michael Price: Yes. And our guidance remains mid-single digit. Just a surprising bright spot this past quarter is growing home equity loans, like $15 million or $16 million. And so we just have a lot of ways to get there.
Operator: [Operator Instructions] Our next question comes from Matthew Breese from Stephens Inc.
Matthew Breese: Jim, you had mentioned that with the Fed cuts, you expect a little bit of near-term NIM pressure. To what extent might we see NIM pressure in the fourth quarter?
James Reske: Yes, it's always hard to guess. I mean, even the standard guidance I was giving, I always say plus or minus 5 basis points because it -- every model has been perfect. But it's probably in that range. I don't think we go as far as 5 to 10, Matt. That would be a little extreme for the 1 quarter and then bounce back. So it's probably in the 5 basis point range.
Matthew Breese: Okay. Is it possible, let's just say we get a few cuts this quarter. We're down to 5 bps. Is it possible to get down another couple of basis points in the first quarter from bleed over and maybe an additional cut in the first quarter as well before we start to see some stabilization?
James Reske: Yes. Absolutely possible. I mean, so much -- we're trying to do a projection based on a rate forecast, which has a ton of rates implied within it. But in our bank, and we've just seen that the reality is there's a lag. So there's -- if there's a rate cut, it hits the prime portfolio and SOFR portfolio right away. And then there's a lag in how we price the deposits. So there's always -- it's never perfect. So you get some effects right away, and then over time, the liability side catches up. And the seasonal change in deposits, I'm just throwing that out there so that people aren't surprised about that. We kind of see this every year. We saw in different categories. Some of this is consumers doing holiday spending. But -- and some of it goes from fourth quarter into the first quarter, commercial accounts as well. So that happens just like it does every year, we'll be borrowing at the marginal rate, and that's a little more expensive. So that recovers early in the year next year.
Matthew Breese: And then you had also mentioned that you expect some improvement in deposit mix next year. What's behind that assumption? And maybe help us out with where you think we'll see some of the largest kind of mix shifts?
James Reske: Just have a real push towards transaction accounts, and I gave some time deposit numbers a few minutes ago. We've loan time deposits because we had to do some of that just to raise the deposit balances, but we have a deep, deep push towards transaction accounts across the bank, both in consumer and commercial. Jane, I don't know if you wanted to add anything because that kind of your.
Jane Grebenc: I can just reiterate it. And it's been grind -- transaction accounts are grinding, and it means we've been grinding the amount for a couple of years now. We're starting to throughput that labor and we'll just keep grinding.
Matthew Breese: Got it. Okay. Maybe just a couple more. Securities were down this quarter. We're now below 13% of total assets. It feels on the low side for you. Could we see some growth there in the coming quarters?
James Reske: Probably not. I think we're going to hold it about where it is. I mean, our plan right now is to replace the runoff really slow anyway, but replace it and really not grow that portfolio. Part of that thinking is that we just want to use that liquidity -- use that liquidity for loan growth and not leverage up the bank by borrowing money to buy securities. So probably where you see it now is a level we plan to hold it probably through '26.
Matthew Breese: Great. And then just on equipment. Equipment finance continues to be a real driver of underlying C&I, is plus 10% a quarter sustainable? Or where do we start to see that revert to the mean?
Thomas Michael Price: We're probably about a year away. This is Mike Price. And we've been really pleased. We've been pleased with the yields and also with the credit performance. And -- but we also have a team that's been doing this for about 25 years. So we feel good about that. Mike, anything you want to add?
Michael McCuen: No, I think there's some incentives this year when it comes to depreciation and we expected that to impact and benefit equipment finance. At least for the next few quarters, we feel pretty good about that growth.
Operator: Our next question comes from Daniel Cardenas from Janney Montgomery Scott.
Daniel Cardenas: If could you provide some color on the competitive factors on the lending side right now? I've heard a lot of give on structure and pricing in various markets, wondering if you're seeing the same thing within your footprint?
Thomas Michael Price: I do think it depends on the market, Dan, and I'll let Mike take this. This is his, but I think there's a big difference between Columbus, Ohio and rural Pennsylvania, but there's -- Mike, what would you add?
Michael McCuen: I would say yields -- margin on the yields has probably dropped 25 basis points over the course of the year. And we really haven't changed much in our structure approach, but that's hurt the yields to your earlier question. I would say the metro markets are much more competitive than the rural markets, as Mike just said. On structure, it's gotten more aggressive. We mentioned the permanent markets, the agency lending. Those are very aggressive right now. It's not something we do, but it does impact our balance sheet. Is that helpful, Dan?
Daniel Cardenas: Yes, sir. I appreciate that. And then maybe color on the M&A front. I mean, we've seen activity pick up a little bit here recently. Wondering what you're seeing come across your desk if chatter has picked up, or it's slowed down from last quarter?
Thomas Michael Price: I think there's more conversations. I think, for us, we really wanted to help our depository and our liquidity. And we've had -- but a lot of conversations that we're pretty prudent, maybe too prudent at times, as I said last quarter, but we're hopeful that we can grow through acquisition. We've been stuck at about $12.5 billion, and crossing $10 billion, you normally lose a lot of your mojo as it relates to your profitability. We've been able to maintain that really with an eye to realistically get to 140, and we fell a little short this quarter because of credit on the ROA side. It was just -- it's not an excuse. We need to have a great NIM and we need to have a great ROA, irrespective of the size. But certainly, if we had a right acquisition or 2 that could get us down the road a couple of billion dollars more, that would be terrific. Our bias is generally smaller because of the risk better and make sure that it's a good depository that can help our liquidity and help fund the bank. And I don't know if that's particularly helpful, Dan.
Operator: That concludes our Q&A session. I will now turn the conference back over to Mike Price for closing remarks.
Thomas Michael Price: Yes. Thank you. I appreciate your interest in our company. I would just add that we've really shifted to deliver the bank regionally, and we really expect the payoff of that to be not just to better deliver the mission, the better grow households and low-cost deposits in the depository and then also better grow our fee income. We do feel like we can grow the loans, and the other thing that's kind of interesting and exciting, I think, is as we look at as an executive team, 30 operating plans for our lines of business for our business units for our geographies as part of our strategic planning process, we really feel there's probably 1, 2 or 3 ways that we can continue to get more efficient. Using technology like robotic process automation or AI or just better straight-through processes. So we just have bright people that can look at their operation and make it better. And so there's just a lot of things that we're excited about the company, to move the company forward and make it better. And we just also have a pretty talented team up and down throughout the organization. So thank you again. Look forward to being with a number of you over the course of the ensuing weeks, and just appreciate you.
Operator: This concludes our conference call. You may now disconnect.